Operator: Good day. And welcome to the Kidpik Corporation Fourth Quarter and Fiscal Year 2022 Financial Results Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to your CEO, Ezra Dabah. Please go ahead, sir.
Ezra Dabah: Thank you, operator. And welcome everybody. We are pleased to welcome everybody to today’s call, where we will review Q4 2022 and provide an update on the business. We will begin with a review of our financial and business highlights, followed by a financial review, which Adir, our CFO, will take us through and then we will open the call to Q&A. I'd like to start by sharing that our fourth quarter results were improved for the most part compared with our recent earnings. Our fourth quarter revenue was $4.7 million, up by 30.6% over the third quarter while keeping our operating expenses down resulting quarter-over-quarter reduction in net loss by 26.4%. In the face of a challenging consumer environment, we're taking actions to ensure our company's health. We have substantially reduced purchases of new inventory and are focused on increasing sales, utilizing our current elevated inventory level, which we believe will support our cash flow needs in the short term. In addition, we took actions to reduce our go forward operating costs. Our goal is through a combination of driving increase in sales along with cost cutting measures to reduce our cash burn and to further extend our operating run rate. We continually upgrade our proprietary technology platform to improve customer retention and experience to grow our sales. During the fourth quarter, we began selling the Kidpik brand on Walmart.com and recently became a trusted partner. In addition, at the end of the fourth quarter, we expanded our product offering on Amazon.com, allowing us to market our full Kidpik collection through their marketplace. We remain focused on acquiring new customers through performance based digital channels, including content marketing and social media. Our competitive advantage of delivering head to toe stylized outfits at affordable prices is appealing to parents and grandparents who are seeking convenience and style support when it comes to getting their kids dressed. Our service evolves with their children's style as they grow, while also enjoying the excitement of unboxing and the fun and discovery together as a family. The customer satisfaction of our subscription service continues to be demonstrated by the 29,500 average four star reviews. We look forward to finding efficient ways to introduce many more parents and grandparents through a convenient, time saving and personalized kid subscription service. Having our own proprietary Kidpik brand gives us the opportunity to expand beyond the box. We have grown our online website sales by 121% over last year's fourth quarter. We are focused on increasing sales and brand exposure through a third party channel such as Amazon and Walmart. We witness the happiness we deliver to kids daily, and we look forward to more parents discovering the benefits of our service. Thank you for your interest and support. With that, I'll turn over the call to Adir to detail the financial highlights of the quarter. Adir?
Adir Katzav : Thank you, Ezra. Q4 revenue was $4.7 million, a decrease of 10% year-over-year. The revenue for the fiscal year 2022 decreased by 24.5% to $16.5 million, compared to $21.8 million last year. The decrease in revenue during the fourth quarter and the fiscal year 2022 was mainly due to a reduction in subscription box sales. Looking at Q4 revenue by channel. Subscription sales were approximately $3.5 million, a decrease of 17.1% year-over-year. Third party website sales decreased by 18.6%, to $593,000. Online website sales increased by 120.6%, to $615,000. Moving to revenue by subscription for the quarter, active subscription for recurring boxes decreased by 28.3%, to $2.9 million. New subscriptions for the first box increased by 247%, to $600,000. Total subscriptions decreased by 17.1%, to $3.5 million. That represents 75% of total revenue. Turning to gross margin. Gross margin for the quarter was 58.9%, an increase of 20 basis points compared to 58.7% last year. For the fiscal year, 2022 gross margin was 59.9%, an increase of 40 basis points compared to 59.5% last year. Shipped items for the fourth quarter decreased by 21.6% to $374,000 compared to $477,000 last year. Full year shipped items were approximately $1.5 million, compared to $2.2 million last year, a decrease of 32.5%. Keep rate for the fourth quarter was 67.6%, compared to 70.8% last year. Full year keep rate was 68.3%, compared to 69% last year. On the bottom line, net loss for the quarter was approximately $1.8 million, or a loss of $0.23 per share compared to a net loss of $1.9 million, or a loss of $0.28 per share last year. The net loss for the year was approximately $7.9 million, or a loss of $0.99 per share compared to approximately net loss of $5.9 million or a loss of $1.05 per share last year. Speaking to non-GAAP adjusted EBITDA for the quarter was a net loss of $1.5 million, compared to a net loss of $1.4 million last year. Now to the balance sheet and cash flow. Cash at the end of the year was approximately $601,000. We used $6.7 million in operating activities during the fiscal year 2022, compared to $11 million cash used in 2021. To improve our cash position, we have reduced purchases of new inventory and may enter into a financing arrangement. As of yearend, we had $14.6 million in total current assets, $6.3 million in total current liabilities, and a working capital of $8.3 million. With that, I will turn the call back to the operator for Q&A. Operator?
Operator: [Operator Instructions] And the first question will come from Edward Reilly with EF Hutton.
Edward Reilly: Hey, guys. Nice to see first box revenue up sequentially for two quarters now in a row. I am wondering what marketing channels have been the most effective, and maybe if you guys could give us any insight into Q1 trends since we're through that quarter now.
Ezra Dabah: Facebook continues to improve for us. And I would say that's the number one channel that is delivering, followed by Google. As we relate to first quarter, as you know, Eddie, we basically, look forward to give you first quarter within the next 30 to 45 days.
Edward Reilly: Okay, got you. And I'd love to hear more on how you guys are thinking about your inventory position right now. Maybe should we expect gross margins to be impacted at all?
Ezra Dabah: No, as you could see, gross margins were basically steady year-over-year, quarter-over-quarter. We're not expecting that to change materially at all. Our inventory as of the end of the quarter, as you noted in our press release today, was about $12 million. And it's quite high, as we probably have spoken about before, by basically reducing our purchases, we are managing to reduce our inventory level, and at the same time, it gives us the cash necessary to run the business.
Edward Reilly: Okay, got you. And then last one for me. It looks like average price per item increased a bit during the quarter. Could you maybe talk about any pricing actions that you've taken during the year and maybe any plans to increase prices this year?
Ezra Dabah: No current plans to increase prices. Last year during the situation that we were all experiencing substantially increased freight cost, we upped our prices a bit. We have seen no challenge to that, as basically I've seen by our keep rates. So no intention to further increase at this moment, and the increase that we put through in 2022 was quite minor.
Operator: [Operator Instructions] This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Ezra Dabah for any closing remarks. Please go ahead, sir.
Ezra Dabah: Thank you, operator. Thank you all for joining us today. Thank you for your continued support and interest in Kidpik. If you have any additional questions, please contact us at ir@kidpik.com. Wishing everybody a great day, nice holiday, and a wonderful spring season. Thank you.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.